Holger Nass: Welcome to everybody and thanks for joining the Verbio Q1 Fiscal Year 2024/2025 Earnings Call. I'm very honored to have with me the management of Verbio SE, Mr. Claus Sauter, the CEO, and the Head of Investor Relations, Alina Köhler, who will both be presenting the results today. The presentation will be followed by a question-and-answer session. Please be aware, sell side analysts will be able to ask questions by using their microphones. who will give you some further instructions at the end of the presentation. All other participants, please use the chat box in the lower right hand corner of the system. In order for your question to be considered, please be kind enough to supply your company name and your own full name for us to qualify the question. Thank you so much. I'm looking forward now to interesting insights from Mr. Sauter and Ms. Köhler, and hand over the presentation to you.
Claus Sauter: Thank you very much, Mr. Nass. So good afternoon, everyone, and welcome to today's earnings call. I'm here with Alina Köhler, our Head of Investor Relations. It's great to have all of you join us on the call. We'll cover our first quarter results for the month July through September. After that, as already mentioned, we will have time for questions. Our current performance is not satisfactory, and we will discuss the causes of this shortly. But let's keep our attention on the big picture first. The shift to a green economy is essential for the world's future. Even big oil urges Mr. Trump to keep the IRA, so that their green investments remain viable. You've also heard about the big transaction three weeks ago, which is a strong signal of confidence in the European biofuels market and its returns. While the journey will not be linear, we are operating in a growth sector and Verbio is in a prime position to capitalize on them. So now let's look on the figures for Q1. On a positive side, our production volumes increased year-over-year, as you can see in the chart on the far left. The increase in ethanol volumes, the light green bars, was driven by better utilization in all regions, including small volumes at our Nevada plant in Iowa. Our RNG production volumes also increased. Yet, our EBITDA declined strongly to minus EUR 6.6 million. Hence, the challenging market conditions are very clearly visible in our first quarter figures. Our net debt after our first quarter stood at EUR63 million as we continued to invest into our key projects. These include mainly South Bend ethanol, the plant in Indiana, and our plant for specialty chemicals in Germany. We continue to invest, but we proceed with caution and keep our focus on our balance sheet strength. The equity ratio was 65% and remained largely stable. As I had already mentioned with our Q4 figures, the investment tax credit related to the IRA for our RNG facility in Nevada, which we successfully sold in Q4, impacts our equity ratio negatively as it is accounted for as an investment grant and hence increases the liability. Let me now hand over to Alina to give you a bit more details on the figures. Alina, please take over.
Alina Köhler : Thank you, Claus. And also, good afternoon from my side. On this slide, we visualize the key drivers that impacted our EBITDA swing from Q1 last year to Q1 this year, left to right. As you can see, what's really driving the decline is the gross margin. And that's mostly coming down due to the decrease in sales pricing, as well as the challenging GHG quota market. And this has actually affected both segments, the Biodiesel segment and the Bioethanol/Biomethane segment. In Q1 last year, we actually still benefited from attractive locked-in GHG credits. So that's a tough comparison for us, of course. Also, and that's something you can see right next to the gross margin decline, the FX effects and the commodity forward contracts impacted our results negatively. As a result, our earnings of the European activities were not sufficient to cover the costs from our North American endeavors. But I'm really happy to report that in North America, we actually have shown a better performance compared to the previous year, which is thanks to a better utilization despite lower spread, as you will come to find out when we talk about markets a bit later on. But let's now go to the more detailed segment split. You are probably familiar with this chart. You've seen it before, and it actually shows the change in composition of our EBITDA and compares also the last quarter with this year's quarter. You can see that the decline in both segments has been very similar. However, the decline in the Biodiesel segment was purely driven by the gross margin, whereas the Bioethanol decline was driven by the aforementioned FX effects and commodity forward contracts, as well as the gross margin. So now let me move on to the Biodiesel segment and give you a bit more detail here. In the Biodiesel segment, Verbio generated revenues of close to EUR 200 million, as you can see in the left chart. This came down from about EUR 323 million in the quarter last year. And what's really standing out here is that the production volumes and also the sales volumes remained largely stable. So the decline in the revenue trend was purely driven by lower biodiesel prices, but also lower GHG quota sales, and as we have already also mentioned in our Q4 and Q3 call in the last financial year, Canada has operated through processing contracts from December 2023 onwards, which essentially means that revenues and material costs are being reduced, but EBITDA, there's no change to that. So clearly, when we now turn to the right chart on the slide, lower spreads and lower GHG quota prices had a negative impact on the results in comparison with Q1 last year. And as I mentioned, the market spreads came down. And you can see that here depicted in the left chart. The market spread is the price difference between biodiesel price and the rapeseed oil price per ton of biodiesel. And it decreased during the third quarter compared to last year. And this is actually reflected by the dark green line, which reflects the current financial year and the lighter green line reflects the previous financial year. In the chart on the right, you can see that these declines in spreads was driven by the lower biodiesel prices. But what also stands out is that both the biodiesel price and the rapeseed oil price are currently on the rise, driven by the veg oil complex and primarily the palm oil actually. And that's really good news now for our second quarter because, in a rising price environment, that usually works in our favor considering that we buy our feedstock 2 to 3 months in advance. But now, let me give you a bit more color on the biomethane and the bioethanol segment in our first quarter here. So our sales remain largely stable at EUR 160 million compared to last year, even though production volumes increased. As you can also see, revenues is depicted in the bar on the far left, whereas production volumes for RNG and bioethanol are depicted right next to it. And so, the volume increase did not help sales. And that is because, again, the lower bioethanol prices and also GHG prices. These lower sales prices and only marginally lower feedstock prices fully fell through to the bottom line, which was additionally impacted, and I mentioned that before, by the FX effects and the change in value of commodity forward contracts. So that in the end, in the Bioethanol/Biomethane segment, we actually reported a negative EUR 21.5 million EBITDA. By the way, the FX effect and the open commodity forward contracts should actually contribute positively in Q2 as both the dollar and the ethanol prices are currently appreciating. And speaking of ethanol prices, let's have a look at the market developments here. The spreads, again, shown on the left side of the slide, were declining towards the end of the quarter. The decline was specifically driven by lower bioethanol prices. While they were at a low level, also the lead prices were at a low level. They have just come up towards the end of the quarter, as you can see in the dark green line, which is driven by US corn, actually, and we'll look at that in a second. And I already mentioned that the bioethanol prices came down. That was actually majorly driven by lower stocks in Europe. But now I mentioned it, we're moving on to the US, which we have incorporated here for the first time. As I said, corn is the price maker right now and the good crop in the United States keeps the corn level low, as you can see in the right chart. We're currently speaking about bioethanol 150 per ton of corn or EUR 450, as you can see in the slide, for 1 ton of ethanol for the corn that you need for that. However, in the United States, bioethanol prices also came down, considering that producers are maximizing their production. Also, what can be seen very well on this slide is that if you now look at the chart on the left side, we really experienced seasonality in the United States. We've talked about the drier season in the past, and you can see that in the winter months, usually the margin is very low, whereas in the summer months, the margin is coming up again. So now I hand back to Claus, who will give you an update on the GHG quota and what's happening there.
Claus Sauter : Thank you, Alina. So as Alina mentioned, quota prices continued to decline in our first quarter, negatively impacted our results. The draft amendment published by the German Federal Ministry of the Environment on September 20 also contributed to the drop in prices. So, what is in the draft? I call this draft notverordnung because it is a clear reaction on the market distortions we are facing now nearly two years. So the draft proposes suspending the ability to carry forward extra greenhouse gas reduction from one year to the next for 2025 and 2026. The idea of the Ministry of Environment is to boost demand for quota options and support greenhouse gas quota prices in those years. So, this idea is explicitly written in the draft. That's the target. But since the draft came out, we've seen demand for 2024 quotas nearly stop, which put immediate pressure on the market. So while prices have recovered slightly, this is the only on the back of very small volumes. What's also interesting, though, is that quotas for 2025, which can't even be delivered yet, nobody has 2025 quota, are already starting to rise in value. And this is likely just the beginning. Let's look on what will happen in 2025. As I said with the draft from the Ministry of Environment paper, market participants with quota obligations lose the option to use CO2 savings achieved in 2024 for offsetting purposes in 2025. So what does that mean in terms of demand? We have the set quota mandate, which is represented by the dark blue line. In 2024 quota year, the carryover or carry-in from 2023 is expected to amount to around 6 million tons of CO2 savings. This is the light blue bar. In 2025, there will be no carry-in, even though it certainly has been created and will be shifted to 2027. Meanwhile, there will be the transition from RED 2 into RED 3, which is another possibility to adjust further growth in greenhouse gas savings. So, in 2025, this gap needs to be filled by real-time CO2 offset. The elimination of upstream emission reductions, UERs, as a compliance option from 2025 also requires compensation of around 2 million tons of CO2 savings through other options, like more liquid and gaseous biofuels as far as electricity. Taken together, with the planned increase in greenhouse gas quota, these effects result in the largest annual increase in greenhouse gas savings to date to around 10 million tons, which need to be achieved in the same year. So this is a significant increase, 10 million tons, and that will affect the greenhouse gas prices. However, I said this before and I will say it again, all of these measures and constraints can only truly be effective when control measures are in place, so that when we see stable higher price environment, no incorrectly declared product can come in anymore. We need effective barriers. This is why the initiative against climate fraud demands a register system, which could come into place before the implementation of RED 3. Actually, the whole situation at the moment against fraud is supported, and Alina mentioned it already, through very high palm oil prices, so that at the moment, the use of palm oil, even if it's fraud, is not economic. So there is more potential here with the likely cancellation of fraudulent UER projects. And in our last call, I mentioned it already that there is clear fraud and we expect a reaction from the government. So in our last earnings call, I mentioned that projects covering around 4 million tons of CO2 could be cancelled retroactively. So we still don't know exactly how this will be managed. Now the German environmental agency, Umweltbundesamt, is saying that project leaders will need to provide new valid upstream emission reduction certificates to replace the fake ones. But this is just unrealistic. It's not realistic. The number of fake certificates is far higher than the number of valid ones available on the market, even counting new projects. Because of this, we think that these cancelled certificates should be allowed to be offset using any available compliance options, which would further increase demand. Let's go to the next slide, Alina. Thank you. So, we keep our guidance unchanged. Hence, we continue to expect an EBITDA in the range between EUR 120 million and EUR 160 million. Net debt is expected to increase to not more than EUR 190 million at the end of our financial year. Like I said earlier, the Ministry of Environment draft proposal is expected to have positive effect in the second half of the financial year as a result of significantly higher sales levels for greenhouse gas quotas. However, there is uncertainty as to whether an impairment of the carrying values of inventories of greenhouse gas quotas will need to be recognized by the end of the year, depending on the further development of the greenhouse gas quota prices in 2024. A potential impairment write-down under the assumption of increasing greenhouse gas quota prices going forward would result in unrecognized reserves being created, which would result in future earnings that may be generated from 2027. So thank you very much for listening to our explanation. And now, let's start with the Q&A session. So there's no questions?
Holger Nass: …technical issue right now. We are trying to fix it. Please just give us one second.
Claus Sauter : It looks like we have some technical issues. I see that there are already some questions in the chat. So should we start with these questions in the chat? So I think we start with the questions in the chat.
A - Alina Köhler: Maybe we can start with Cornelis' question? He asks, could you please provide more clarity surrounding the potential impairment as well as the profit contribution?
Claus Sauter: I think we go just through the questions step by step, Alina. Okay, we start with that question from Cornelius Kick [ph]. Could you please provide more clarity surrounding the potential impairment as well as the profit contribution? So, well, it depends very much on which level the quota price will be at the end of the year. So there is a lot of movement. And finally, the question is, how will be the development for the 2025 quota? So right now, we don't expect a big issue on the impairment, but it is maybe low. It's a single or maybe a low double-digit million euro amount. And I start at the beginning here from Sven. At the current price, Verbio has a lower market valuation and the company is financially healthy. Are there currently no parties interested in acquiring the company? Could you share your views on this? Well, no, there are no parties interested in acquiring the company. So finally, I think the low market valuation at the moment is very much related to the fact that we have a clear regulation. But regulation was not properly controlled by the government and the institutions. And I think all these concerns about fraudulent product, and I was reporting about it already two years ago, now it is clear that there is fraud. Once this is away, I think our results will recover and then the market will recover as well and then let's see how the things are going to develop. The next question was, in your previous call, also from Sven, in your previous call you were quite optimistic about the coming year. How is it that the results are so much lower than the expectations you set? Well, finally, we did our guidance September 19th. And we didn't expect that one day later, the government came out with this notverordnung. So I think this is a clear message. And as I said before, it's written in the draft itself that the government has to do something that greenhouse gas prices are recovering. So I think it's a clear statement, fast reaction. So the impact now on the first two quarters will be that because obligated parties will not be able to use their CO2 savings in 2025, they have to carry it to 2027. So oil companies, obligated parties reduce the use of biofuels to take as much as their CO2 savings as possible in 2024. So this is some change, unexpected change, yes, but finally it's a great signal into 2025 because the overall demand or the overall target for 2025 is approximately 21 million tons of CO2 savings. So with all these things what we mentioned, no carry-in, no UERs and the usual increase in quota, which is reflecting in 10 million tons more of CO2 savings, this is 50% of additional volume, what we didn't expect in that. So I'm still positive for 2025 and even 2026. The market has the chance to recover. It is clearly known that the actual greenhouse gas prices are far too low. And the question, what to do with the fraudulent amounts, the 4 million tons what I mentioned, I think this discussion we will have with the Ministry of Environment during the implementation of the RED 3. There must be also an impact. So I think government understood that it is important to have clear rules and to control it, that fraud in this range, what we saw, millions of tons of CO2 savings which were not delivered, cannot happen again.
Holger Nass: We have some more question from Cornelis Kick, which – unless you've already answered them, I think we should probably continue with. One being, can you provide more clarity and quantify the US ramp up costs?
Claus Sauter: Well, the US ramp up costs, we are ramping up at the moment. So, the planning for the whole year is that we will have ramp up costs, single million euro amount, but at the moment it is a little bit too early. That is our planning. But we expect an EBITDA between zero and below EUR 10 million. But let's see how it is continuing. Right now, I am in the US. We do great progress here in Nevada. And yeah, plant, we have a shutdown now to fix some things. But since September, we were running up to 50% utilization. So it's going forward.
Holger Nass: Another question from Cornelius would be, do you expect the revaluation effects and FX and commodity contracts to be reversed in Q2 with a stronger dollar potentially?
Alina Köhler: Yes, absolutely. I also said that during the presentation. Both ethanol prices and the dollar is appreciating, so that definitely benefits us in our second quarter.
Claus Sauter: Yeah. The margins are lower, like in the last business year, but everywhere the margins recovered. And we had some effects, what Alina mentioned during the presentation, which are also now changing. So the second quarter should be much better than the first quarter. Next question.
Holger Nass: Also concerning the US, when will the US expansion be completed, i.e. the capacity ramp up? When do you think that will be done?
Claus Sauter: Right now, the main focus is ramping up the plant in Nevada. As I said, we were at 50% utilization. So, the plan is to have ramped up this plant at full capacity until the end of the business year. And then ethanol in Indiana, in South Bend, is already running, so this is full capacity. And then the next step is to implement there, in Indiana, in South Bend, the RNG production. But therefore, we have to do the investment. We started groundbreaking in May this year. Right now, we are building digesters. But during this commissioning here in Nevada, we learned that US corn is different to European corn. So, it looks like that producing renewable natural gas from US corn spillage is less complicated like in Europe. So we expect to be able even to lower the cost for the investment in Indiana. The original plan was $230 million. But I think we can do it. Some components. of our technology, what we need in our German plants, we do not need here in the US. So we learn a lot. We have interesting learnings and experience. So I think we will be able to adjust the investment in Indiana below $200 million. So that's the plan. Until the end of the business year, Nevada, full capacity on ethanol and full capacity on renewable natural gas, which is here in that slide, which is still on the screen. And then with continuing the investment in RNG in Indiana, which will take from today minimum another two years, but anyway, the investment in Indiana is very much related to our company performance, so that the market is recovering and that we can realize our expected guidance. And Indiana is something where we have also the possibility to adjust a little bit the investment and the cost. I think what is also important is that the investment in Indiana also qualifies for the IRA. So there will be an investment tax credit when we are investing $200 million, then it will be something about $60 million, 30% of it.
Holger Nass: Next question from Jocelyn [ph]. Do you currently see a supply crunch in BD, RD EU market in Q2 with all the RD refineries offline and how could it affect you and also do you have any or some exposure to French spot market in Q2?
Claus Sauter: That's a lot of questions in one question. Can you repeat it once more?
Holger Nass: Of course, most certainly. Do you currently see a supply crunch in BD/RD EU market in Q2 with all the RD refineries offline? And how could it affect you?
Claus Sauter: I see, first of all, the increasing demand and how to achieve these additional 10 million tons of CO2 savings only in the German market. So, right now, China is out. There is no business case right now due to the high palm oil prices. And then especially in Germany, we need 10 million tons of more CO2 savings. We mentioned it. That has to be done with liquid or gaseous molecules. But in some areas, we have blending walls. So even if the molecules are there, it is a challenge to blend it into the diesel and gasoline. This is not our problem. That will be the problem from the oil industry. But that is a challenge. And I think the biggest effect can be done with gaseous molecules because there is no blending. It is 100% pure biofuels. So we are bio LNG or bio CNG. And I think we will see there more demand coming up during 2025. And just the possibility, how to fulfill the target with blending this additional amount even if the molecules are there, it will be a challenge to bring it into the market. And what I see is, first of all, more demand coming from gaseous molecules, renewable natural gas, this is what Verbio is doing. And second, I guess that oil industry will pay premiums for high greenhouse gas saving biofuels. Because if the blending – and we have E10, so 10% ethanol is the maximum. On the biodiesel side, the cheapest blending is with biodiesel, but there we have the blending wall at 7%. So you can do about this more renewable diesel. But I think what is important for the oil industry is just the blending cost itself. So that means higher demand for high greenhouse gas saving biofuels. And this is also something what Verbio can do. We have high quality biodiesel and we are able to create high greenhouse gas savings on the volume which is blended. So right now, let's see what is happening 2025, but it is not only the availability of molecules which is critical, it's also the way how to bring it into the market.
Holger Nass: And the exposure to the French spot market in Q2?
Alina Köhler: We usually sell our entire volumes and the exposure, we always have an exposure to the prices, to the spot prices because that's how our contracts are built on, the average spot prices in a month, if that answers the question.
Claus Sauter: Yeah, I think so. We are more or less sold out, so the volume is booked. Utilization will be close to 95%, 97%. As Alina mentioned, our exposure is due to the development on the market prices.
Holger Nass: I have a question from Marcus Kubasch [ph] who is asking how likely it is that the draft of the law that we talked about earlier will actually become law until the end of the year given the political environment.
Claus Sauter: It's not a law. It's just a regulation. So it doesn't have to go through the government. So you don't need a majority. So right now, the fact that our government is a minority government does not affect this regulation because the regulation just has to go through the cabinet. Well, before all these changes in Germany, the date to decide on that regulation should have been tomorrow, so November 13. Right now, I don't know if this date is still valid. But it's a clear message. And you know the regulation is coming from the Greens. And as I said, it doesn't have to go through the Parliament, it's just a regulation so it is decided from the Cabinet.
Holger Nass: Before we come to the last questions, if there are any additional questions among you, please feel free to post them in the chat. We'd be more than happy to answer them. And if possible, please also mention your company name and your full name so that we can qualify the questions accordingly. Let's come to a question from Ms. Stenger-Tiedtke. She's asking – Renewable Energy Research, that's her company. What is your current assessment of the political risk in the USA? Can you provide more details as to the US production volumes' sales?
Claus Sauter: Well, thank you, Alina. Maybe you can see on the screen, powerful oil lobby defense IRA. Big oil urges Trump not to gut Biden's climate law. So I think that is the first. Well, the first argument from my side is related to our business, most of the states in the United States which are affected by the IRA and what Verbio is doing are the Midwest states and these are Republican states. The second point is what Alina now brought on the screen, that it's not companies like Verbio anymore, a pure biofuel company. No, especially the last two, three years here in the United States, Big Oil was investing. Some of the companies are mentioned here. Phillips 66 which transferred a big mineral oil in refinery into a renewable diesel refinery, ExxonMobil invested Occidental Petroleum. So all these oil companies started huge investments in renewable diesel or they are doing CO2 sequestration. So it's not anymore just companies like Verbio, it's also Big Oil which recognized that the package around IRA is economically very interesting and it is a good possibility to make money. I just mentioned the so-called 45Q. So if you are sequestering a ton of CO2 savings in the United States, you create an $85 tax credit per metric ton of CO2. So that's big business here, multi-billion dollar investments. And even if the IRA goes away, our decision to come to the United States was far before the IRA came. Let's say it was a windfall profit for us for the investment here in Nevada. So, we are absolutely not concerned that something is going to happen and it will continue. But even if something is happening, then investments will for sure be slowed down and then investments will run on a more calmer base, but nobody will stop that movement here in the United States.
Holger Nass: Just to make sure, as I was knocked out by the system, the question from Cornelius Kick regarding clarity surrounding the potential impairment as well as the profit contribution, that has already been answered, I assume.
Claus Sauter: Yes, that has already been answered.
Holger Nass: It looks like from our end, hold on, there's another question coming in, which is from Conrad Leder [ph]. Can you give us insights – and I think we've briefly touched on that already. Can you give us insights into industry capacity adjustments? I think we've already addressed that to a certain point.
Claus Sauter: No, this we didn't address yet. Well, I don't know exactly or we don't know who is producing and who is not producing. But what we hear from the market is that significant capacity on European biodiesel production is down. The two main reasons I mentioned, the margins were bad and finally now the demand is bad because oil companies are not buying additional amounts for biodiesel because they use their surplus of CO2 savings. But I think now everybody is preparing and you can see it already. European rapeseed prices rose by, let's say, 20% the last two months. So the market is preparing for starting up the capacities in 2025, producing more European-based biodiesel. Palm oil is no option, it's too expensive. But as I said on this other question, it's not only the availability of molecules. The molecules have to be also to be brought into the market. And I think that is the biggest challenge. So it's not only about producing biodiesel, it is about producing the right biodiesel and the right biofuels. So there are everywhere limitations. And in 2025, the real target is to achieve the volume of 21 million tons of CO2 savings. I think that is apart from the pure availability of molecules. Renewable diesel is an option, but it is the most expensive option.
Holger Nass: I've got one more question from Roland Federer [ph] of Praxis I'm [ph]. You confirmed your guidance for the current year. It was first issued before the proposed change in regulation. Does this guidance hold up in case there is no change in regulation? And is there upside if the proposed regulation gets passed? Any possibility to give an idea about the magnitude of the potential upside, respectively downside?
Claus Sauter: Yeah, the question was right. Our guidance was done before. But this effect that – look, on our Q1 results, this effect that obligated parties reacted immediately, reduced volumes. to blend it in 2024. There is space for more biofuels in 2024, but they don't use that space anymore. And that is affecting our Q1 numbers. We were adjusting now, let's say, our reaction for Q2. So as I said before, we expect a better Q2 than Q1. But now it will move everything to 2025. So the big question is how fast the market will recover, especially the quota market. And from my point of view, the quota market will be essential to achieve the 2025 target. We have still some possibilities there to increase our volumes, to produce more and bring it into the market. And it's really hard at the moment to say if there is more upside. We have to wait until January 2025. Right now we are negotiating the new contract for 2025. We have to see how much premium obligated parties are willing to pay for high greenhouse gas saving biofuels. But there's too much uncertainty at the moment at that point to say something about the further development in the business here. There is one more, Sven. There is one question. How are the plants utilization going in America, Nevada and South Bend? I see that the production is the same in Q4 compared to Q1. Yeah, that's right. South Bend we are doing some adjustments, some deep bottlenecking to bring up the production reliable on a different level. So, now, overall the Q4, the Q1 is very similar. But Nevada was producing at, as I said, about 50%, but at the very end of Q1, so you will see that figure is mainly in Q2, and South Bend came a little bit down. So the real effect will come in Q2. So then I have one more question here from Valle [ph]. How is the development in India? Still hopeful? Yes. Well, the development in India is interesting. And maybe some of you saw that three weeks ago, I was one week in India. So what is the status quo there? We built a plant, a 20 megawatt renewable natural gas plant in Punjab and our feedstock there is rice straw. In India, it's called paddy straw. So the plant is running at 50% utilization. And the gas is sold as a transport fuel in bottles at the surrounding filling stations. My visit in India was mainly due to the fact that I said to the government that I say, hey, we have a solution to fight against stubble burning. Because what is happening right now, and there is rice harvest, is that the farmers are burning 20 million tons of paddy straw. 20 million tons, it's an awful situation at the moment. In Punjab, also there in Pakistan, it's going down to daily. So people stay at home, they can't go to work. And this is our main target. Seven years ago, we came to India. We saw what's going on there. And now we established a plant and also a value chain to be able to collect. We are right now collecting 60,000 tons of paddy straw, 60,000 tons which will not be burned. But we need a viable business case. And that is now the discussion with the Indian government that we say, we have a technology to stop stubble burning, to stop that awful situation every year, 10 weeks between October and December. And we are the only one and the biggest one. So that is a completely different story because the main product there is not the renewable natural gas yet. It's a renewable energy source replacing fossil. But the main point is that we are able to take that paddy straw and make another product. And we are close now to some changes in the regulation in India, which will create a very interesting business case. We signed, during my visit in India, now a contract with GAIL. GAIL is the state-owned, trans-India natural gas grid operator. It's a multi-billion dollar company, and we signed an MoU to build another 10 plants in India. We would build the plants together with GAIL. We would operate it, and GAIL would completely offtake all of the renewable natural gas production. Now, with Verbio India, we came to a point where we were able to show the government what Verbio is doing works. And right now, as I said, we are the only possibility to stop that stubble burning because the farmer himself has no chance to do anything with that paddy straw because it's just too much. The soil is not able to digest these huge volumes of paddy straw. And after the rice harvest, December 10, the wheat must be already sowed in the soil. So there's just a short period of time to do something with the paddy straw. And the option from the farmer there is just to burn it. So yes, interesting developments in India. Let's see how we will continue. And I think I can give there a new update with the Q2 numbers. But we are doing big, big progress there in India.
Holger Nass: Super. Thanks so much. It looks like we're running out of time, but I think we have addressed all investors and sell side analyst questions. So I wanted to take the opportunity to give everybody who participated a warm thank you, of course, especially to you, Mr. Sauter and to you, Alina, for sharing the insights. Looking forward to the developments in Q2, and I wish everybody a great afternoon. Thank you so much for participating. And sorry from my side for the quick hiccup on the tech side. I still don't know what happened, but I'm back.
Claus Sauter: Yes. Okay. Yeah. Thank you from my side also. Thank you very much for everybody participating. Yes, as I said at the beginning, results for Q1 are not satisfactory, but I think the outlook is now even better, much better for 2025. I also appreciate very much that finally our government was reacting, that our concerns about fraud were true. We were not blaming anybody. So looking forward to talk with you again when we are presenting the Q2 numbers. And have a nice day. Thank you very much for everybody. Thank you.
Alina Köhler: Thank you.